Operator: Greetings and welcome to the Terex First Quarter 2024 Results Conference Call. [Operator Instructions] As a reminder this conference is being recorded. It is now my pleasure to introduce your host, Neil Frohnapple, Vice President of Investor Relations. 
Neil Frohnapple: Good morning and welcome to the Terex First Quarter 2024 Earnings Conference Call. A copy of the press release and presentation slides are posted on our Investor Relations website at investors.terex.com. In addition, the replay and slide presentation will be available on our website. We are joined by Simon Meester, President and Chief Executive Officer; and Julie Beck, Senior Vice President and Chief Financial Officer. Their prepared remarks will be followed by Q&A. Please turn to Slide 2 of the presentation, which reflects our safe harbor statement.  
 Today's conference call contains forward-looking statements, which are subject to risks that could cause actual results to be materially different from those expressed or implied. These risks are described in greater detail in the earnings materials and in our reports filed with the SEC. In addition, we will be discussing non-GAAP financial information we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures can be found in the conference call materials. Please turn to Slide 4 and I'll turn it over to Simon Meester. 
Simon Meester: Thanks, Neil and good morning. I would like to welcome everyone to our earnings call and appreciate your interest in Terex. I'd like to begin by thanking all Terex team members for delivering outstanding performance in Q1. The team executed really well and delivered strong results to start the year with. We increased sales by 5% and expanded operating margins by 20 basis points from last year. The company also delivered earnings per share of $1.60 in the quarter and achieved a return on invested capital of more than 27%. These outstanding results demonstrate our ability to execute as the team continues to perform at a high level.  
 Additionally, we are raising our 2024 sales and profit outlook and now expect earnings per share in the range of $6.95 to $7.35. During the quarter, we also continued to advance our strategic initiatives to drive long-term shareholder value. We launched several new products across the portfolio and continue to make good progress ramping up our new facility in Monterrey. This new facility continues to absorb more of Genie's global production mix and is expected to improve the segment's full cycle margin performance. Please turn to Slide 5. 
 Customer demand remains healthy across most of our businesses, supported by favorable end market conditions. Our Q1 backlog of $3.1 billion is significantly above historical levels and gives us confidence in the sales outlook for the remainder of the year. As expected, backlog continues to moderate from peak levels, which reflects more normal lead times, improving supply chain and continued efforts by our team members to improve overall throughput. Consolidated bookings in Q1 of more than $1 billion were down from last year, which reflects the return to more normal seasonal order patterns combined with softer demand in Europe. In the MP segment, backlog is still above historical norms and bookings increased sequentially from the fourth and the third quarter.  
 Additionally, our AWP backlog now covers the 2024 outlook with our utilities business actively taking orders for 2025. Overall, based on customer feedback, our backlog coverage, our bookings and leading indicators, we feel confident about raising our '24 outlook. Please turn to Slide 6. 
 The overall market outlook remains strong for many of our primary end markets, especially in North America, which represents over 60% of total company sales. In fact, we saw double-digit sales growth in North America in Q1. Our businesses remain well positioned to benefit from higher U.S. government spending to modernize infrastructure over the coming years with an increasing number of projects continuing to be announced. Additionally, construction spending on manufacturing is up more than 30% year-over-year driven by onshoring and mega projects related to semiconductor manufacturing, clean energy and EV battery projects. These favorable end market trends, combined with replacement cycle tailwinds and high equipment utilization rates are beneficial for our aerial's business.  
 Additionally, the increasing adoption of our products in emerging markets such as India is another positive. The utilities market is expected to continue to grow, supported by investments in grid upgrades and expansion required for 0 carbon and amplified electrification needs like power generation for future AI applications. In the U.S., power related spending has been increasing at double-digit rates. Our Utilities business is benefiting from this growing demand and was up double digits in the first quarter as the team is working hard to overcome ongoing shortages in the supply chain. Strength in U.S. infrastructure, general construction and residential end markets will continue to benefit MP's aggregates and concrete businesses. We expect these tailwinds to offset softness in businesses with higher European exposure.  
 We expect MP's environmental business to continue its growth, driven by increasing demand for waste recycling. And our Fuchs business is focused on expanding into new geographies and new products to help offset the near-term demand softness. Overall, we see continued strength in the infrastructure, utilities, manufacturing and recycling markets and remain positive on the 2024 market outlook for our portfolio. Please turn to Slide 7.  
 I now want to take a step back and provide a few reasons on why I'm confident in Terex's growth trajectory over the coming years. First, Terex has a diverse product portfolio that provides differentiated value to our customers at all points of the project life cycle. Notably, our equipment is utilized for customers across various applications from foundation to building, repair, maintenance and the eventual recycling of materials for reuse. We also remain committed to developing new products to address our customers' evolving needs and maximize their return on investments. In fact, the innovate part of our strategy continues to generate incremental growth for the company.  
 For example, approximately 20% of our annual sales are from new products introduced in the last 3 years. This is a testament to our team members' collaboration with our customers to provide innovative solutions to support developments across the globe. Please turn to Slide 8. Terex also remains well positioned to capitalize on megatrends and emerging technologies that will favorably impact our end markets over the coming years. In total, around 80% of our addressable market is aligned with stimulus from megatrends and from increasing government investment and incentives.  
 Our market-leading businesses all benefit to varying degrees by more investments in infrastructure, digitalization, waste recycling and electrification. For example, the MP team has leading positions in global crushing and screening markets that benefit from the growth of on-site demolition and infrastructure projects in general and the associated demand for aggregates. Keep in mind that aggregates represent around 50% of segment sales and we also serve customers across all project life cycle phases including growing demand for environmental and waste recycling solutions. Our Utilities business is well positioned to capitalize on investments required to upgrade the U.S. electrical grid to support the accelerating demand as the industrial world continues to move to the use of more electrical power. And our Genie products are benefiting from demand from infrastructure projects, data centers, manufacturing onshoring and investments in the entertainment sector. Overall, Terex's diverse product portfolio positions us very well for 2024 and beyond.  
 Let's turn to Slide 9. It has been an exciting first few months as CEO of Terex and I would like to provide a few more thoughts on our strategic priorities as we look ahead to the future. Our Execute, Innovate, Growth strategy has built strong momentum over the last several years. We now have a diversified portfolio of market-leading businesses that are generating higher levels of performance through the cycle. In fact, we're on track to achieve more than $7 of earnings per share and greater than $300 million of free cash flow for the second consecutive year. I'm confident that Terex have significant upside for many years to come. Looking ahead, I strongly believe we can create even more value for shareholders by accelerating the growth element of our strategy over the coming years and it starts with our strong balance sheet and cash flow generation, which provides plenty of firepower to pursue opportunities that will drive sustainable long-term value.  
 With respect to organic growth, we're focused on increasing product vitality and targeting opportunities to drive incremental growth across the portfolio. The team is also moving with urgency to capitalize on the megatrends and emerging technologies that I highlighted earlier. And finally, we continue to grow the M&A pipeline, to identify opportunities that are financially attractive, broaden our market reach and strengthen our portfolio, keeping in mind, we continue to evaluate potential inorganic action against other alternative uses of capital, which is a good position to be in. Overall, I'm excited for the opportunities that lie ahead, and I'm confident we will elevate Terex to new levels of performance. 
 And with that, let me turn it over to Julie. 
Julie Beck: Thanks, Simon and good morning, everyone. Let's take a look at our strong first quarter financial performance found on Slide 10. We posted sales of $1.3 billion, up about 5% from last year reflecting strong demand for our products across multiple businesses. Geographically, we delivered significant growth in North America, while Europe declined since last year's very strong first quarter. Gross margin of 23% increased by 40 basis points over prior year on improved manufacturing throughput and disciplined price cost management.  
 SG&A expense increased over the prior year due primarily to higher compensation expense, although structural costs came in largely as expected. SG&A as a percent of sales was 10.8%, up slightly from last year. Note that SG&A includes $4 million of discrete financial callouts due to accelerated vesting and severance charges. Excluding these charges, SG&A came in at 10.4% of sales, better than last year. Income from operations was $158 million with an operating margin of 12.2%, a 20 basis improvement over prior year. Operating income also includes a $4 million impact of vesting and severance charges. Interest expense was relatively consistent with the previous year, while other expense increased $7 million from the prior year, primarily due to unfavorable mark-to-market adjustments.  
 The first quarter global effective tax rate was 20.5% compared to 17.5% in the first quarter of 2023. First quarter earnings per share of $1.60 was consistent with last year. As expected, with a return to more seasonal pattern, free cash flow for the first quarter was negative, as increasing operating profits were more than offset by working capital added to support the sales outlook. In Q1, we continue to carry a higher level of inventory to support increased Q2 and Q3 sales volumes as well as our Genie production move. 
 Let's take a look at our segment results. Please turn to Slide 11. The MP team has gotten off to another good start in 2024 and is executing well despite more challenging macro conditions for a few of its businesses. Before I go into more details on the quarter, let me first provide more perspective on the segment from a high level. We have nearly doubled the size of the MP segment over the last 7 years and expanded operating margins by almost 700 basis points during this period. Today, MP consistently generates mid-teens operating margins and represents about half of our total annual operating profit. And this segment remains well on track to achieve the Investor Day targets we established for 2027.  
 In fact, delivering on the long-term sales target of $2.7 billion represents an incremental dollar per share of earnings power for the total company relative to our 2024 outlook. For the first quarter, MP sales declined by 6% to $520 million compared to the exceptional first quarter of 2023 due primarily to softer demand in Europe, partially offset by growth for aggregates. MP's reported operating profit of $72 million was down $13 million due to the impact of lower sales volumes, unfavorable product mix and product liability reserves. Although MP's operating margins were down 150 basis points from last year, they were 50 basis points better than expected. MP ended the quarter with backlog of $712 million, still above historical norms, while our bookings increased 7% sequentially from the fourth quarter. Keep in mind that the MP business is shorter cycle and continues to transition back to more traditional book-to-bill dynamics, as supply chains continue to improve, which impacted the comparison for bookings relative to the prior year.  
 Turning to Slide 12. AWP delivered excellent performance in the first quarter with sales of $773 million, up nearly 13% from last year, primarily reflecting higher demand as well as improved supply chain and manufacturing throughput. AWP reported quarterly operating profit of $107 million, an increase of 29% over the prior year. The increase was driven by strong operational execution on the higher volume, improved supply chain performance and disciplined price cost management. Operating margins expanded by 180 basis points with an incremental margin of 28%, reflecting strong performance overall by the team. And finally, I would note that AWP backlog is strong at $2.4 billion, which is more than 2x the historical norm.  
 Please see Slide 13. Terex has a strong balance sheet with ample liquidity. Our net leverage remains low at 0.5x, well below our 2.5x target through the cycle, providing us plenty of flexibility as we look ahead. And our outstanding bonds are at an attractive fixed rate of 5% until the end of the decade. We are reaffirming our 2024 free cash flow outlook range of $325 million to $375 million. As you can see on this slide, Terex is on track to generate more than $1.1 billion of free cash flow over the 5-year period. This cash generation has allowed us to strengthen the balance sheet and invest for profitable growth, all while returning significant cash to shareholders. We're planning for capital expenditures this year of approximately $145 million or about 2.7% of sales at the expected midpoint with the largest investment related to our Monterrey facility. Note that we would expect CapEx to take a step down next year and to be a benefit to free cash flow conversion in 2025. 
 We reported a return on invested capital of 27.6%, up 370 basis points year-over-year. Terex is in an excellent position to continue advancing our strategic growth initiatives while returning capital to shareholders. Now turning to Slide 14 and our full year outlook. It's important to realize we are operating in a complex environment and many macroeconomic variables and geopolitical uncertainties that results could change negatively or positively. With that said, this outlook represents our best estimates as of today. 
 Following the strong start to the year, we are raising both our sales and earnings per share outlook for 2024. We are increasing our earnings per share outlook to the range of $6.95 to $7.35, up from the previous outlook of $6.85 to $7.25. We are also raising our sales outlook to a range of $5.2 billion to $5.4 billion, up $100 million compared to the prior outlook midpoint. Our sales outlook incorporates healthier customer demand and improved operational throughput. With that said, the outlook reflects strong demand in North America and plans for continued softness in Europe over the balance of the year. 
 We expect the first half sales to be slightly higher than the second half, with the second and third quarter sales higher than the first and fourth quarter as we return to more seasonal customer delivery pattern. We anticipate full year operating margin in the range of 12.8% to 13.1%, consistent with our prior outlook and solidly above full year 2023 performance. Our margin expansion reflects strong operational execution and the impact from the higher sales outlook. We are also driving ongoing cost reduction activities to offset softer demand in Europe and continued inflation. At the midpoint of the outlook range, the implied incremental margin range for the full year is about 30%. From a modeling perspective, we do want to emphasize the strong second quarter performance in 2023 when making year-over-year comparisons for the remainder of the year. 
 We expect corporate and other expenses to be around $25 million in the second quarter and then approximately $20 million per quarter in the second half of the year. We now expect interest and other expense of $65 million for the full year, higher than the prior outlook to primarily reflect the financial callouts in the first quarter. The outlook for the rest of the below line items are largely unchanged from our previous outlook. And as I highlighted earlier, we continue to estimate free cash flow in the range of $325 million to $375 million. 
 Let's review our segment outlook. We expect MP sales to be $2.2 billion to $2.3 billion for the full year, with margins in the range of 15.6% to 15.9%, both consistent with the previous outlook. For the second quarter, sales and margins are expected to step up from Q1 levels. Profitability is expected to steadily increase through the balance of the year. For AWP, we now expect 2024 sales of $3 billion to $3.1 billion, up $100 million from our previous outlook. We are slightly raising our operating margin outlook to a range of 13.5% to 13.8% for the full year, representing upwards of 100 basis points of expansion over 2023. We expect Q2 sales to be up from the prior year, while margins are anticipated to be around 150 basis points lower compared to last year's very strong second quarter. 
 Note that margins will be impacted by moderating efficiencies and unfavorable mix,  partially offset by continue d cost out activity. We anticipate the quarterly cadence of our AWP sales to be closer to historical patterns with the highest sales in Q2 and Q3, which will also drive higher profitability for those quarters. Overall, our increased full year outlook reflects our confidence that 2024 will be another outstanding year for Terex. 
 And with that said, I will turn it back to you, Simon. 
Simon Meester: Thanks, Julie. Turning to Slide 15. In summary, the Terex team delivered excellent results to start the year and we now expect even stronger performance for 2024. We have a diversified portfolio of industry-leading businesses that are generating higher levels of performance through the cycle. We're also well positioned to continue to benefit from megatrends and emerging new technologies like electrification, digitalization and AI. The team remains focused on operational execution to drive greater efficiencies and higher returns on invested capital. We have a strong balance sheet and generate significant cash flow that will continue to fuel our profitable growth strategy and return capital to shareholders. And we have, a global, experienced, diverse and highly engaged team that is committed to continue to create value for our customers and our shareholders over the coming years. 
 And with that, let me turn it back to Neil. 
Unknown Executive: Thanks, Simon. [Operator Instructions] With that, I would like to open it up for questions. Operator? 
Operator: [Operator Instructions]  Our first question comes from Jamie Cook from Truist Securities. 
Jamie Cook: Congrats on a nice quarter. I guess, Julie, my first question on materials processing. You noted margins came in 50 basis points ahead of expectations but you're not changing your margin guidance for the year. And then just also surprised you have not -- the sales guidance was reiterated when the markets seem weaker, in particular, with the European exposure within materials processing. So if you could just help me on the MP guide. I guess then -- and Simon, now that I guess you're close to 5 months in, can you just talk to what your -- I know your strategy sort of accelerate growth, can you talk to what you're seeing on the M&A sort of pipeline, whether you think there's an opportunity to do deals in 2024 and then just sort of the size of the deals that you're looking at and where you'd be interested. 
Julie Beck: Okay. So Jamie, I guess I'll start with the MP outlook. So the MP business, they -- we had a better quarter than anticipated. They were about 60 basis points ahead in operating margin from what we had anticipated. They had some favorable geographic mix. We had more North America exposure. They were also impacted in the quarter, about 50 basis points for that product liability charge that I mentioned. We do anticipate that the -- some of the European markets, in particular, our material handling business, that's our German business, [indiscernible] scrap is challenged going forward. But we see upside in our environmental businesses and our concrete business and aggregates continues to perform well.
 And so the -- that's -- and from a margin perspective, we're expecting our margins to improve sequentially as we go throughout the year and we expect the sales to take a step up from Q1 levels as well. So overall, we're expecting another nice year from the MP business. 
Simon Meester: Yes. Jamie, thanks for the question. Yes, so it's been 4 months. It's been very exciting so far. Obviously, looking back over the last couple of years, I don't think there's any denying that we have built very strong operational momentum with our Execute, Innovate and Grow strategy. We truly transformed the company. We have a strong portfolio that we feel very good about. So I would say, my first priority is to make sure we maintain that positive momentum that we're currently on. But there is no doubt that we now are in a position where we can also focus on now that we have that strong operational momentum and how we can accelerate growth and to your point, obviously, we look at inorganic options. We're also looking at organic options. We're a $5 billion business in a $34 billion addressable market. 
 There's still a lot of white space to go after organically and with good return on invested capital, that is on the table for us, just as much as inorganic action. But when it comes to the inorganic action, for the reasons I just laid out, we're not really in a hurry. We didn't set ourselves a target. We didn't set ourselves a time line because we are in such a strong place. And because we have strong demand for our existing businesses, for the next couple of years, we're going to take our time for this but we do have an active pipeline of opportunities. We're looking for anything inside and outside our current addressable markets that would be attractive, that would strengthen our portfolio, that will make us stronger, will widen our moat but obviously needs to be financially attractive and ultimately further strengthen our future earnings profile. 
 But again, I can't emphasize this enough. It all needs to rank favorably versus all the other actions that we have available to us like share buybacks, like investing in our current businesses and dividends. And so that's how we force rank those opportunities. But anything is on the table. 
Operator: Our next question comes from Stan Elliott from Stifel. 
Stanley Elliott: I guess piggybacking on that, with leverage, you guys have a kind of a 2.5% kind of net target through the cycle, you're probably going to be close to debt free by the end of the year. How large of a deal would you want to pursue if something were to pop up? And if that doesn't materialize this year, then maybe kind of help us again with new opportunities for buyback and things like that. 
Julie Beck: Yes. Well, Stanley, we will evaluate. We're evaluating all sources of -- we have a wide pipeline. So we look at smaller things and maybe some larger things as well. And we're not prescriptive. I think we're just trying to follow the criteria that Simon mentioned before. When we think about share repurchases, certainly, we've repurchased $1.6 billion of shares over the last 7 or 8 years. Last year, we returned over 28% of our free cash flow to shareholders and we have $130 million remaining at our current authorization for share repurchases. So again, we'll continue to evaluate share repurchases and inorganic opportunities along the way and make the decision that provides with the greatest return. 
Stanley Elliott: And I guess, secondly, the comments, I mean, you had about 20% new products, your past 3 years. This comes at a time when you guys are generating very strong margins returned and making accelerated CapEx. That combination typically does not happen. What are you guys doing differently, is it voice of customer? Is it kind of moving into some kind of niche white space but it sounds like the new product piece is probably exceeding expectations. 
Simon Meester: Yes, definitely. And at the end of the day, we're a product company. That's what we do. That's what excites us. That's what makes us going every single day we're excited to bring new products to the market. We deliver -- most of our products go to businesses. They're looking for return on investment. So whatever improves return on investment for our customers and makes our customers more successful. But yes, even in MP, we've been expanding our hybrid and our [indiscernible] power  alternatives. We announced our Cummins partnership to collaborate on hydrogen power. We've expanded our recycling and environmental solutions offerings like Green-Tec and the new slow speed shredder that I talked about in the presentation. And it's really all the combinations you can think of, new products in existing markets, existing products in new markets. We're exploring it all. We have opportunities to take existing products into new markets. We have opportunities to take new markets -- and new products in existing markets. 
 On the Genie side, Genie has been a leader in the development of electric and hybrid products for some time. With the excess capacity in 2018, even before the regulations changed, Genie already brought that to market. But today, with our hybrid booms that have really been trendsetters, the new telehandlers that have come out with significantly improved total cost of ownership. And then lastly, on the utility side, introduced the first all-electric bucket truck combined with an [ e-PTO ], on an all-electric chassis, that was 2 years, if I remember correctly, big opportunity going forward there. And so, yes, we're playing the MPV card really hard because at the end of the day, that's, I think, what makes our company what it is and gives us competitive advantage that it has. 
Stanley Elliott: Congrats and best of luck. 
Operator: Our next question comes from Steven Fisher from UBS. 
Steven Fisher: You mentioned, Julie, a benefit from price versus cost management. Can you maybe just give us some quantification of that in the quarter? How did it compare to your expectations? And what do you have embedded in there for the rest of the year on price versus cost? 
Julie Beck: Yes. Thanks for the question, Steve. In the first quarter, the team just really performed well, particularly in AWP. They were able to -- we saw improvement in the supply chain. We were able to bring in the labor that we needed in Washington State, as well as in Monterrey, which was terrific and we were able to ship more than we expected. And of course, that helps with the overall margin. When we talk about pricing and price cost, we always talk about our price cost being price cost neutral. And we're anticipating pricing for the year in about that mid -- low mid-single digit range. So that's where we're at from price cost. We continue to monitor price cost. And as you know, the MP business is very dynamic in their pricing as they're quoting virtually every piece of equipment. 
Steven Fisher: That's helpful. And then just you mentioned, Simon, I think the utilities orders for 2025. Can you just talk a little bit more about how the discussions around 2025 have evolved in utilities and also more broadly for the company? 
Simon Meester: Yes. It really -- it's -- went up there definitely for MP because MP is returning more to kind of a book-to-bill cadence typically with about 3 or 4 months forward visibility, [indiscernible] mostly covered for 2024. We could take some more bookings probably in 2024 if we would find the labor, material for it. And we expect to start discussions for 2025, typically as we do in Q3 and Q4. But then, yes, utilities is already actively taking orders for 2025. Just a lot of demand. We're still struggling with a little bit of throughput because of bodies and chassis. But overall, that business just has a lot of upside for the next couple of years. 
 Everything equal, just obviously, the mega projects alone but grid upgrades that need to happen, grid expansion. And I spoke about AI and I know it's a little bit of a buzzword but thinking about AI applications that will make their way into the market, they're all very power intense, power intensity means, grid upgrades, means grid expansion and they're exactly in our wheelhouse. So that's why we're very excited about that business going forward. 
Operator: Our next question comes from David Raso from Evercore ISI. 
David Raso: Following up on the order conversation. I think clearly '24, people are going to try to figure out why can't we do maybe a little better on the margins given what's already on visibility with the backlog. Then you mentioned some of the manufacturing challenges that could arise, maybe parts of Europe within AWP. But can you help us understand sort of what's in the backlog today when it comes to mix, product type, which channel you're selling to, just so we can better understand particularly why the margins should be lower the rest of the year versus the first quarter. I know you said the second quarter, the number you provided will be better than the first quarter. But I'm talking for the rest of the year, the implied margins are below the first quarter which is a little surprising. 
 So again, is there something in the mix or just conservatism on some manufacturing issues. And then on the '25 order conversation, anything you can help us with on mix. The end markets you just described, are those more big booms, midsized booms? Just trying to get a sense of teles versus aerials. Just trying to set up a little bit of why the margin is lower the rest of the year. And also any thoughts around '25 for mix? 
Julie Beck: So when we think about the operating margins for the year, we're expecting improvement from year-over-year and we're expecting a 30% incremental margin. So we see margins improving over last year and we see margins improving sequentially in Q2, Q3. And then of course, they come down in Q4 because we have the usual, well the usual seasonal patterns and lower production days in the fourth quarter. But we're anticipating higher margins and 30% overall incremental through for the year. 
Simon Meester: Yes. I would just say no big material swings in the backlog that should be accounted for, of the  top of my head. Look -- but yes, we're just going back to more normal kind of seasonal behaviorals where our Q2 and Q3 are going to be from a top line and probably going to be our stronger quarters than Q4 because of Julie -- what Julie said, less working days going to be traditionally probably one of our below average quarters. So that will just make its way in terms of incrementals down to bottom line. And then Q2, we just have a little bit of headwinds because we're ramping up in Monterrey and that's how we account. We don't -- we see sequential improvement, David, with the exception of Q4. 
David Raso: For AWP specifically, the rest of the year is implied at 13.6% margins. We just did 13.9%. I know the fourth seasonally can be lower than the first quarter. But I'm just making sure we understand this, there's some -- look, understandable Europe, all the risks that are out there. I'm just making sure there isn't something we're missing where it's logical without just trying to be a little cautious, which I appreciate. Why would the rest of the year margins be below the first quarter? Because that's what the implied numbers are? And I just want to make sure we're not surprised a quarter or 2 from now with a big mix issue or the first quarter had a unique price cost that we're giving back in the rest of the year? I just want to make sure we understand the base case here. 
Julie Beck: Yes, thank you. I mean what we would say, David, is that we would have Q2, as Simon mentioned, would be and we mentioned in our remarks would be impacted by more inefficiencies in Monterrey. But really, the first quarter would be a stronger quarter than the fourth quarter, I guess and that would be the only reason. There's nothing else other than some further startup inefficiencies and that's about it. But overall, again, for the AWP, they're going to have incremental margins approaching at 35% for the year. 
Operator: Our next question comes from Steve Volkmann from Jefferies. 
Stephen Volkmann: Just a couple of cleanups from me. Julie, have you changed at all your view of the sort of total start-up cost impact on 2024? 
Julie Beck: We would say that we guided to about -- like that $15 million to $20 million number. It came in a bit favorable in the first quarter. I'd say it was probably about $5 million impact. We would expect that to increase and be higher in the second quarter, as we mentioned. And then we would expect that to go down through the rest of the year, more first half weighted than second half. 
Stephen Volkmann: But for the full year, kind of that same range that you've been talking about. 
Julie Beck: Yes, exactly. 
Stephen Volkmann: Okay. And then I had a question on the utilities business as well because if I remember correctly, that had some very kind of specific and I think significant margin headwinds through the COVID interruptions in supply chain and so forth. So I'm just curious if you can sort of bring us up to date. How are margins in that utility business now? Is there still sort of meaningful upside as we go forward? Just how to think about that? 
Simon Meester: Yes, we had a tough Q3 last year. And since when we kind of [indiscernible] the teams, they continued to improve. So we're actually very pleased with how the team executed in the first quarter. 
Julie Beck: Yes. The third quarter, as Simon mentioned, they had a supplier quality issue, which impacted us significantly. And we recovered from that. And so we're expecting some improvement in that business as well. That business still does have some more supply chain disruption due to bodies and chassis but we are expecting improvement in that business as we go as well. And we're -- as Simon mentioned earlier, we think that business has tremendous amount of potential and we like that business portfolio. 
Simon Meester: It's still functional supply, though, that's the challenge, is that -- and there are some big swings like custom bodies and truck chassis. We thought we were out of the woods in truck chassis and it did kind of came back. So it's really -- there's some uncontrollables there as well. 
Operator: Our next question comes from Nicole DeBlase from Deutsche Bank. 
Nicole DeBlase: Maybe just first, you raised the EPS guidance for the full year but left free cash flow as is. Is it just early in the year to be raising the free cash commitment? Is it more working capital investment? Can we just discuss that? 
Julie Beck: Yes. I  mean we kept the ranges early in the year, Nicole, I agree with that. We are carrying -- we do expect inventory levels to come down through the year and improve working capital management incorporated in that. As we mentioned, that we do carry some more inventory in the first quarter. We build inventory to support those second and third quarter higher sales volumes and we have higher inventory right now for the production moves. And so -- but we are expecting that to come down in net working capital to be a source of cash this year and we expect cash flow to gradually improve throughout the year and be more traditional with our seasonality, with the use of free cash flow in the first quarter and improving subsequently throughout the year. 
Nicole DeBlase: Got it. And then I guess, can we just hear a little bit more about what you guys are seeing in Europe. This has been definitely a trend that we've heard from multiple companies. So it's not particularly surprising. But just would you say things are like getting worse, just kind of bouncing along the bottom, it would be really helpful if you could characterize what you're seeing there. 
Simon Meester: Yes. For us it's -- so the bright spot in that region, if you include the broader region is for us the Middle East. But the parts where it's really affecting us, it's Germany, U.K. and it's France. And I guess, technically, both U.K. and Germany are hinting towards, I think, a technical recession. I haven't seen their latest GDP  numbers. But if Germany and the U.K. would recover and we think U.K. might recover a little before Germany does because Germany is overly dependent on exports. But our outlook currently confirms that it doesn't get worse in the U.K. and in Germany. But those are the 2 markets that are really worrying us the most. 
Operator: Our next question comes from Tami Zakaria from JPMorgan. 
Tami Zakaria: So could you comment on the inventory in the channel for MP. I think I remember you expected some destocking in the first quarter. Is that largely done? 
Simon Meester: Destocking -- sorry. Thank you, Tami. So yes, we -- that is largely done. Our dealer inventories are where they need to be. So it's an interesting dynamic because obviously, when backlogs come down and in the case of Fuchs, where demand came down because of scrap prices, we had to do some adjustments in supply. That's largely done. That's behind us now. And so from a dealer inventory and pipeline standpoint, we think we are where we need to be going forward. 
Operator: Our next question comes from Jerry Revich from Goldman Sachs. 
Jerry Revich: Simon, in your prepared remarks, you spoke about the company's opportunity in leveraging digital and technology advancement. Can you just expand on that? What are the opportunities with your telematics offerings and elsewhere, what exactly, if you don't mind flushing out for us,  what exactly you have in mind in terms of the most significant opportunities for you folks, given the existing installed base telematics and any other developments you're focused on? 
Simon Meester: Yes. Thank you. So I see external opportunities for us and I see internal opportunities  for us. External, besides just what makes its way into our products today, I talked about hybrid, I talked about our first all-electric bucket truck [ e-PTO ] and so on and so forth. But we also made some longer-term technology investments in Acculon and Apptronik, which we both announced last year and I believe late 2022. We believe -- we're very excited about our Acculon investment because that will give us control of an important EV supply chain for us. And in Apptronik, we're excited because that's kind of the next generation of robotics and we can start applying that in some of the applications in not just aerials but in other areas of Terex as well. 
 So the long-term technology investments is just as exciting as what we're currently plying with. But then internally, we see AI as just that next, the next opportunity to just drive efficiency, drive productivity, drive real-time decision-making, the way we balance supply/demand with AI, we can make that a real-time process. So we're excited on how we can leverage that both externally and internally. We mostly see it as opportunities for us. 
Jerry Revich: Okay. And then lastly, can I ask you to please comment on what you're seeing in terms of the telematics data for booms in North America in terms of where year-over-year utilization stands. It looks like used equipment inventories are rising off of a really low base but I'm wondering what the utilization data shows, if you'd be willing to share it, please? 
Simon Meester: Yes. No, it's a tight correlation between what our customers are telling us and what we're seeing from the data. And that -- when I mentioned leading indicators in one of my opening remarks, this is one of the leading indicators that obviously, we look at. We look at telematics because we see what the utilization of the fleet is. And all of our customers are reporting high utilization and that's what telematics is kind of confirming. I'm talking North America. In Europe, we see some lower utilization, again, confirmed by what our customers are telling us. So the telematics data correlates with the high use that we're seeing in North America. 
Operator: Our next question comes from Steve Barger from KeyBanc Capital Markets. 
Steve Barger: I just want to look forward a little bit to accelerating profitable growth on Slide 9. When the team modeled out opportunities in megatrends, emerging technologies and outgrowth initiatives, what's the range of organic growth you envision in the next 3 to 5 years? 
Simon Meester: Yes. So for now, we're still sticking to our Investors Day targets, Steve. So we have a commitment of $6 billion. We're ahead of that trajectory. We're comfortably ahead on both the top and the bottom on $6 billion and 13% to 14% operating margin is the commitment we made. We made that commitment 5 quarters ago. It's a 5-year commitment. We're 5 quarters in. We don't think that we should start talking about raising that kind of commitment because we would like to have a few more quarters under our belts before we reassess where we want to be in 2027 and beyond. 
Steve Barger: Yes. That was really the motivation for the question. You only need 3.5% CAGR, if you hit the high end of your guidance range this year to get to $6 billion. So I guess if you have to frame it up from a growth perspective, is that what you expect? Or is $6 billion too low? Or when do you think you might update that? 
Simon Meester: Well, everything else equal, I mean, obviously, you could argue that we're probably in a comfortable place to beat that expectation. But there are more variables at play in. As I said, we would like to get a few more quarters under our belt before we start looking at changing our longer-term outlook. 
Steve Barger: And then with Terex being a product company, as you noted, when you think of mega projects like semi-fabs, EV plants, renewables, is there room to differentiate with a new purpose-built machine for specific markets or is it really more about modifying existing machines? And then just -- I don't want to downplay it but quality and delivery to take share? 
Simon Meester: No, yes, to both. So we're applying existing products. For example, our Green-Tec offering, we're basically applying existing products to a new segment which is vegetation management business. And so we're leveraging our portfolio, existing portfolio in new markets. And the other way around, we're also developing, based on certain platforms that we already have, we're providing -- we're expanding our recycling portfolio and embedding new technologies in our crushers and shredders and repurpose them to broaden our reach in the recycling space. So we're applying technology and we're leveraging the existing portfolio. And that's kind of what I believe is the strength of the MP vertical, is that we have so much white space just to leverage the existing portfolio. 
 And I think the MP business has demonstrated just that. In the last 7, 8 years, they've booked on double-digit growth margins consistently every year for the last 8, 9 years. And one of the things that they did was just finding new use cases for their portfolio. 
Operator: Our last question today will come from Angel Castillo from Morgan Stanley. 
Angel Castillo Malpica: So just going back to the first quarter performance and you noted kind of stronger throughput, a number of kind of points here. I just wanted to [indiscernible] back a little bit. Could you just give us an update on just kind of hospital inventories and where that's kind of at? It seems like some of this might have improved just throughout the quarter. If you could give us a little bit more color along with that on the supply chain? And then just last point on this, as you gave better throughput and stronger deliveries in the first quarter, generally, it sounds like what we're hearing from some of the public rental companies is that they're really taking deliveries on a more kind of normal cadence. So was this more driven by independents in the first quarter? Or what are you seeing from a customer mix perspective and in terms of just taking deliveries of kind of the stronger throughput here? 
Julie Beck: Okay. So there's a lot there. So [indiscernible]. Yes, if you think about our customer mix, our customer mix, in general, stays relatively consistent over time. There may be puts and takes in any one given quarter. But I wouldn't say that, that customer mix had anything to do with who took deliveries in the first quarter, if you will, or less deliveries. I would say that, that we are returning to those -- the more seasonal patterns where the large national accounts [indiscernible] in Q2 and Q3. That, we're moving back to that where in the past when we were resource constrained, they were taking the equipment when we could make it. 
 So we're returning to those more normal delivery patterns when supply chain improves. And then when -- you asked about margins in the first quarter, what allowed us -- yes, with that supply chain improves, we were able to get labor in our Washington state locations, as well as our Monterrey facility, which certainly, that more manufacturing throughput, of course, helped margins in the quarter as well. So that was all very helpful. We still have a hospital inventory. We're still dealing with issues that were product issues but they vary. And of course, supply chain has much improved over a year ago. 
Angel Castillo Malpica: And then I wanted to go back to one of the earlier questions around the 2027 targets. Maybe I was just kind of doing the math a little different but I was just looking at the CAGR imply between 2023 and rate in 2027, it seems to be closer to kind of 4% top line CAGR. And I think the guide for this year at the midpoint puts it at 2024 CAGR or 2024 growth of kind of 3%. So as we think about kind of getting to that 4% CAGR for 2027 delivering on targets, you mentioned you feel you're comfortably ahead of the range. So given 2024 seems to be a little bit below that despite pretty strong backlogs and pretty kind of good visibility, should we anticipate that '25, '26 and '27 accelerate for some, I guess, underlying factors organically? Or is that 1% kind of difference generally what you think about kind of the M&A that you're trying to kind of work back towards to get to kind of that 2027? 
Julie Beck: So Angel, we had a significant growth in 2024,  16%, 17%. We had really strong growth in sales in 2023 and so that puts us ahead of the targets. But when we think about the -- going out to 2027, it's still early to upgrade -- update those targets, it is. And so we remain ahead of those and that's just where we are right now. 
Operator: We are out of time for questions today. I would like to turn the call back over to Simon Meester for closing remarks. 
Simon Meester: Thank you, operator. If you have any additional questions, please follow up with Julie or Neil. And with that, thank you very much for your interest in Terex. Operator, please disconnect the call. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.